Mattias Perjos: Welcome, everyone, to today's call. This is Mattias Perjos. With me, I have our CFO, Agneta Palmer. In today's conference, we'll first look into our performance in the second quarter of 2025 and then also talk a bit about the current market situations and our expectations for 2025. So we can move directly over to Page #2, please. And I wanted to start with a quick repetition of our overall ambitions and how to get there. And as you already know, our financial targets for 2024 to 2028 is to have at least 12% adjusted EPS growth on average. We believe we have a strategy that is well crafted to get us to this goal. It's really based on our market positions in leading categories and the strength that we have in the different key geographies globally as well. And part of this is, of course, increasing the share of sales from recurring revenue. It's accelerating the share of sales from higher-margin products like our Paragonix offering, our ECLS portfolio, the consumables in Infection Control and our BetaBags in Sterile Transfer. And it's also a strategy that involves, of course, solid and effective quality processes going forward. These improvements should, of course, be achieved through responsible leverage as well and an attractive long-term return on invested capital. We can clearly see that we are delivering according to the plan on these KPIs. We're trending in the right direction on all of them. Sales from recurring revenue is now at 65%, and it was even higher now at the beginning of the first half of this year, but I would like to remind you that we are more weighted towards capital, especially in the fourth quarter of the year. High-margin products make up about 2/3 of sales. For quality, the number of field actions in relation to sales has decreased significantly, and we can see that this positive trend continues in the first half of this year as well. We can then move to Page #3, please. So if we zoom in on the second quarter of this and the key takeaways on performance for the quarter, we do look back at a solid quarter when it comes to top line. Net sales grew by 4.1% organically with a positive development in all business areas and regions. Order intake increased by 4.4% organically with growth in all regions and also in Acute Care Therapies and Surgical Workflows, while we had a softer performance in Life Science, also based on high comps from the previous year. Adjusted gross and EBITA margins improved mainly due to acquisitions, healthy price increases and positive mix. Tariffs and currency weighed heavily on the EBITA margin, signaling that the underlying development is very strong. Our financial position as well remains solid with financial leverage way below 2.5x EBITDA despite the increased net debt level after the acquisition of Paragonix. We can then move over to Page #4. So I wanted to talk a bit about the key activities and events during the quarter as well, and let's start with the offering and customers. First, I would like to highlight that our Vasoview Hemopro 3 clinical cases that were successfully conducted in the U.S. and that we expect now to start deliveries in the U.S. in larger scale during the third quarter and especially with full force from September. We've also extended the functionality of the Servo-c ventilator with the neonatal option in targeted markets. And besides making a series of sales records for different product categories in the quarter, Paragonix celebrated its 100th kidney transplant case with the KidneyVault that was approved in Q4 last year. In Life Science, we launched the heavy-duty Ultima 1600 washer. And in Surgical Workflows, we have announced that we have entered into a partnership with Zimmer Biomet to support the fast-growing Orthopedic Ambulatory Surgery Center segment in the U.S.A. In Surgical Workflows, we've also introduced the XEN disinfection chemistry portfolio in the U.S., and this is leveraging the Quadralene offering through Healthmark, which was one of our strategic intents with the acquisition of Healthmark. So it's really nice to see that this is going according to plan as well. When it comes to sustainability and quality, I just wanted to highlight that our complete intra-aortic balloon pump -- intra-aortic balloon catheter portfolio obtained EU MDR certificate in the quarter. And we have also submitted the documentation for reinstatement of the CE mark on our balloon pump and are now in a dialogue with our notified body about this. As you can see in the second quarter report, we have a positive trend also in regulatory compliance and findings per audit and field corrections per million of net sales compared to previous year. So really good job by the team on all fronts in this regard. The increase in online training of customers remains and CO2 emissions from operations also continued to decrease. Let's move now to Page #5 and our top line performance, please. Overall, we had a specifically strong top line performance in Acute Care Therapies and in the Americas regions. I also want to highlight that we had really good traction when it comes to order intake overall in our 3 biggest markets, so U.S., China and Germany. When it comes to order intake, we had an average 4.4% organic increase across the company. So the organic order intake for Acute Care Therapies increased mainly due to ventilators in Critical Care and ECLS consumables. The organic order intake for Life Science continued to report double-digit growth in Sterile Transfer. However, the other meant that the order intake declined organically. The organic order intake for Surgical Workflows increased sharply due to healthy growth in all product categories and regions. So that's really nice to see. On the net sales front, we had 4.1% organic growth. And despite challenging comparative figures, Acute Care Therapies increased its net sales organically, mainly due to the strong performance in ventilators and also in Cardiac Surgery. Organic net sales for Life Science primarily increased as a result of the very high growth in Sterile transfers and also sterilizers in the quarter. In Surgical Workflows, organic net sales increased due to high growth in Infection Control and also in our Health Solutions offering. Let's move to Page #6 then. And with that, I hand over to you, Agneta.
Agneta Palmer: Thank you, Mattias. Firstly, I will say that even in the face of these headwinds in terms of tariffs and FX, we do continue to see improvements coming through leading to higher margins. Starting then with adjusted gross profit. For the group, adjusted gross profit increased to SEK 4,183 billion in the quarter, primarily on the back of volume, acquisitions, continued traction in pricing and positive mix. Gross margin was up by 0.8 percentage points in total, primarily supported by price and mix. Moving on to adjusted EBITA. The positive effect from adjusted gross profit on the EBITA margin was 1.3 percentage points related to what I just mentioned. Adjusted for currency, OpEx had a slight negative impact on the margin in the quarter. FX impacted negatively by minus 0.9 percentage points in the quarter. All in all, this resulted in an adjusted EBITA of SEK 989 million, improving our margin by about 0.2 percentage points year-on-year to 12%. So I really want to emphasize the underlying performance improvement, tariffs and FX had a significant negative impact on adjusted EBITA margin. If currencies had been the same level as last year and if we add back the cost of tariffs, we would be above 14% on adjusted EBITA margin. So the underlying improvement is strong. Let's then move to Page 7 and tariffs, please. So a few words on where we are on the tariffs. Let me first reiterate what we said in our previous earnings call that about 60% of our sales in the U.S. is produced in the U.S. For EU and China, respectively, about 10% is produced in the U.S. and about 1% of sales in EU and U.S. is coming from China. Finally, as you can see, a significant proportion of our sales in China is still produced in the EU. And on that note, we will not comment on the latest news when it comes to tariffs and trade regulations between EU and China as things are still moving. What we can talk about is the cost from tariffs that we have in the second quarter, which amounted to approximately minus SEK 110 million. And even though we continue to be successful with price adjustments, we have had to absorb most of this cost in the quarter. Let's move to Page 8, please, and what we do to mitigate these effects. So here, we aim to illustrate what we do to mitigate the impact from tariffs. As you can see, there are 3 main areas: pricing, cost reduction, and reviewing our structural setup for sourcing and production. The further to the right that we go on this slide, the larger the potential effect, but also the longer the time to impact. As we said before, we continue to be successful in adjusting prices, but nevertheless, we expect pricing to have the least impact on out of these 3 given our competitive landscape. The next one, productivity-driven cost reduction. That is, of course, nothing new, but we will scale up our ongoing initiatives globally and throughout our operations. And we do expect that to continue to counterbalance the impact from increased costs that we have seen in recent years from inflation and now also from tariffs. When it comes to the last one, reviewing our setup for sourcing and production, we are analyzing everything from local sourcing alternatives to regionalizing or even localizing other value-adding activities along our supply chain where this makes sense. At this stage, it's too early to put figures on this based on 2 facts. First, there's still a lot of moving parts. No one knows exactly what the final tariffs will look like, meaning that the tariff landscape can still change materially. Secondly, we still have important work ahead to assess and compare our strategic options, and therefore, we will not comment on the specifics for now. Let's move to Page 9, please. Free cash flow in the quarter amounted to SEK 0.5 billion. Compared with last year, free cash flow was positively impacted by changes in working capital and working capital days continue to develop well. On operating return on invested capital, we are at 12.1% on a rolling 12-month basis, which is well above the cost of capital. At the end of Q2, net debt amounted to SEK 11.7 billion. If we adjust for pension liabilities, we are at SEK 9.2 billion. This brings us to a leverage of 1.7x adjusted EBITDA which is well below the 2.5x that we have as an internal threshold. If we adjust for pension liabilities, leverage is at 1.4x adjusted EBITDA. So this signals that we remain in a solid financial position and actually at the same leverage as last year, even with our recent strategic acquisitions. Cash amounted to approximately SEK 1.9 billion by the end of the quarter. So all in all, we can conclude that the financial position continues to be strong. Let's move to Page 10, and back to you, Mattias.
Mattias Perjos: Okay. Great. Thank you, Agneta. So this takes us to the outlook for 2025, where we remain with our expectation for organic net sales growth to be in the range of 2% to 5% based on the 2024 net sales. With that, we can move directly to Page #12, please, to summarize a bit. So key part of the second quarter of this year is that we've delivered organic growth with improved margins despite significant headwind from tariffs and FX. Our financial position remains solid despite the acquisition of Paragonix, and we stick to our outlook for 2025, where we guide for organic net sales growth of 2% to 5%. So the priorities for 2025 haven't changed since last time. We are continuing to address the remaining challenges when it comes to quality in Acute Care Therapies. We work actively with the sustainable productivity improvements and also cost consciousness when it comes to navigating the geopolitical uncertainty and addressing the impact from tariffs. And most importantly, we continue to invest in our business, develop new products and solutions to create added value for our customers and make sure that we provide access to life-saving technology for more people globally. So with that said, I open up for questions. Thank you very much.
Operator: [Operator Instructions] The next question comes from Erik Cassel from Danske Bank.
Erik Cassel: So first, I want to have sort of a 2-in-1 question on the long-term guidance. So you reiterate the long-term guidance on margins essentially despite all the tariffs and FX. First, I sort of want to understand the implication for how you're viewing the underlying business. So what sort of FX and tariffs impact have you assumed for the long term? And then secondly, the sort of reiteration, is that driven by that you found more upside in, say, the underlying business? Or have you mainly assumed mitigation effects on your end?
Mattias Perjos: Yes. When it comes to the long-term guidance, we -- it is based on the current tariff situation here. So we'll have to wait until August 1 and see if there's any update in either direction there. But the assumption and the statements made today are based on the situation as it is today. And I think when it comes to the mitigation part, it's not that we found a lot of new things. We've always worked actively with productivity improvements, of course. We worked actively with the pricing for many years. The regionalization of supply chains as well is something that became a topic already in the pandemic. So we had some prework done in this regard as well. So I wouldn't say that there's a lot of new things. We've -- it's maybe better to express it like we're emptying some of the cushions that maybe we had in our outlook for the coming years rather than finding new things.
Erik Cassel: Okay. Good. But this quarter was essentially 1.3 percentage points effects on adjusted EBITDA. Is that sort of where you've assumed the long-term impact to be as well?
Agneta Palmer: We don't assume a significant deterioration in the currency rates as they are now.
Erik Cassel: Okay. And then I assume a lot of the cushions that you had when you set that guidance considering the timing was on losing market shares in balloon pumps and ECMO. Are those the sort of cushions that you have removed now? And can you say anything on the sort of current cadence on ECMO and balloon pumps?
Mattias Perjos: Yes. No, I think those are not really part of it. We've had maybe a slightly more favorable impact than we assumed that if we go back to May of 2024, but that's not what I meant when I talked about cushion. That's more related to some of the productivity improvements that we've been working actively on and that we have assessed the impact from. So it's more about that. But when it comes to the challenged categories, if you look at balloon pumps and the consumables with it, we continue to have a pretty good development when it comes to the consumables. But needless to say, when it comes to the installed base, given the restrictions we have, we do see a negative development here. And that's the same thing for cardiopulmonary. When it comes to the hardware situation, it's a much slower development. And as you could see on the disposable side, the ECLS consumables was one of the highlights for Acute Care Therapies this quarter. So no material change. The impact is a little bit less than we feared in May of 2024, but the impact is there. It would have been a lot better if we didn't have this situation.
Erik Cassel: Okay. Just a final question from my end. Last year, there was a lot of ongoing costs related to all the quality work with scrapping, et cetera, in the ECMO. Is there any such effects in this quarter? And what's your view on the full year for those sort of costs?
Mattias Perjos: There is no significant scrapping cost in Q2. There's also no significant cost from field actions or field corrections, but we do still have an elevated level of cost when it comes to continuing work to uplift our different products that are impacted. So that's the main way to look at this. And I think the statement that we made end of last year that we believe that the extraordinary quality cost peaked in 2024 is still valid.
Operator: The next question comes from Anchal Verma from JPMorgan.
Anchal Verma: This is Anchal Verma on behalf of David Adlington. Three questions from me, please. First one, can you just confirm the current tariff assumptions that you have baked in, is that 10% for EU tariffs for the full year? Or have you baked in that, that increases to 20%? And can you just give us some sort of guidance on what the full year tariffs could be like? Essentially, how should we expect the SEK 110 million in Q2 develop over the remainder of the year? Similarly, could you please also outline what your FX headwind impacts at the margin level will be for the full year? And then finally, your 2024 to 2028 financial target calls for average EPS growth of over 12% However, H1 EPS growth is less than half of that. Is that in line with your expectations? And what do you believe will drive it higher in H2, especially where we believe headwinds from tariffs could be higher?
Agneta Palmer: So if we start with the first question to confirm the tariff assumptions. What we do disclose is the current tariff level that we have had in Q2, which is at minus SEK 110 million. We don't speculate or guide on what is ahead. And that, I think, answers also the question related to the full year tariffs. If we take the FX topic and outline, it's the same situation there. We don't speculate in where FX will go going forward. But what we will say is then this effect that we have had in the second quarter. We can also share the most important FX pairs for us. They are USD to Swedish krona, USD to euro, euro to Swedish krona. So as you can well see in the second quarter here, we are favored by a strong U.S. dollar and the opposite then when the dollar weakens versus the SMB, that is unfavorable for us. And the final one regarding the EPS growth. This is the CAGR on average for the period 2024 to 2028, and we confirm that we still stand behind that.
Anchal Verma: Again, just confirming, I guess, so the current tariff assumptions are for 10% EU tariffs and if they were to increase, you'd probably have to recalibrate the calculations. Is that fair?
Agneta Palmer: That is a fair assumption, yes. But if tariffs increase or in the case that they would decrease, that number would change, of course.
Operator: The next question comes from Mattias Vadsten from SEB.
Mattias Vadsten: I have a few questions here today as well. First one, you benefited a lot for a year or so now from higher demand in ventilators. Basically, where are we now? Are you expecting even further incremental tailwind? Or will it come down a bit as we move into the second half and into 2026? And maybe if you could disclose also how many ventilators you're anticipating to sell this year?
Mattias Perjos: Yes. Thanks. The -- as you can see in the report, ventilators has continued to be one of the highlights here when it comes to growth. It has a little bit actually of a dilutive effect on margins given the mix of the types of ventilators here. But the growth remains solid. I think we're going to enter into more difficult comps now in the second half of the year, but we do expect this transition to continue. As you know, there's a number of players who are leaving the market here, one a bit more drastic than the others. And that, I think, gave a more short-term boost to this. But the long-term replacement is going to take several years. So that will continue to be a tailwind for the business, I think. And we do not disclose the number of ventilators that we expect to sell.
Mattias Vadsten: Okay. Then just where we are tracking on price contribution to growth year-to-date and what we are looking for the full year? And also, I appreciate it's tough to disclose what you could do regarding the tariffs, but just keen to hear a little bit how discussions have been, when discussions started and some flavor on that would be helpful.
Mattias Perjos: Yes. On pricing, we're a little bit above 2% on average so far this year, and we expect to be somewhere between 2% and 3% for the full year here. When it comes to your question on tariff discussions, I mean, can you elaborate what you mean with what type of discussions?
Mattias Vadsten: So if you've had any price negotiations with customers post-Liberation Day basically and what the feedback has been in this case?
Mattias Perjos: Yes. Yes, of course, we've had a dialogue with our customers about this. And I think generally, there isn't a whole lot of acceptance towards tariff surcharges or things like that. And also from a competitive standpoint, the key categories for us, we also need to be mindful to protect our market share. So therefore, we have decided to take a long-term view on this and be relatively cautious. Our average price increases in the U.S. are a little bit higher than the global average, but not to the extent that we compensate for tariffs. But this will continue to be ongoing work. And I want to remind everybody again that for a large portion of our business, we do have long-term contracts that have limited flexibility in the short term, meaning 2025 and '26.
Mattias Vadsten: That's very helpful. Then just lastly on Surgical Workflows. How much is an element of market share gains, would you say in this business area? I think orders are super strong and it's been a good momentum recently.
Mattias Perjos: I can't call out any significant market share gains. As you know, by nature, this business is a bit lumpy, but it's very nice to see that we've had good progress across the board when it comes to our different product categories within Surgical Workflows. But I really can't call out any measurable market share gains here. I think it's nice to note the XEN chemistry expansion in the U.S., which is on the back of 2 acquisitions, Healthmark being the most recent, but also the Quadralene acquisition done a few years ago where we've developed this new range of both chemicals that is showing really good traction now as a combination between these 2 acquisitions.
Operator: The next question comes from Aisyah Noor from Morgan Stanley.
Aisyah Noor: My first one is also on tariffs. Thank you for the disclosure of SEK 110 million for the quarter. I know you don't provide guidance, but could you disclose a bit of detail around when the tariff payments started in 2Q? Was it kind of the middle of the quarter or just a couple of weeks? And was it paid -- which region did you pay them to? So was it between U.S. to China shipments, China to U.S., Europe to U.S., which was most kind of impactful to you? Second question relates to something that was asked before as well around volume impact. So do you think based on your order growth and your sales growth, was there any stockpiling impact from the 90-day pause of these tariffs that you think could result in a bit of an air pocket of volumes in the next quarter? And then just one on Paragonix. It looks like you're, I guess, ahead of your expectation of a positive contribution, I heard to your EPS from this asset starting in 2028. So could that, I guess, drive a little bit of upside? Or do you think there was a little bit of strength -- unexpected strength in the Paragonix EBITA this quarter that is temporary?
Agneta Palmer: Thank you. If we start with the tariff payments, we did start to pay tariffs fairly early second half of April of this quarter. And the major flows for us is EU to U.S. And then we had -- we have some, as we disclosed as well, some flows from China into U.S. and U.S. into China, but the majority of the payments are related to the EU to U.S. If we then comment on the potential stockpiling situation, we know of both, 1 or 2 rather isolated cases. We have brought some material into China expedited that due to this, but it's not anything material. On the other hand, however, worth mentioning that in our own supply chain, we have taken firm measures to sort of make sure that we transport everything in before these dates where tariffs have been said to potentially change. So it's a little bit of an effect of that in our own supply chain, but no stockpiling with customers of any significance that we know of. And finally, then on Paragonix, yes, it is trending a bit ahead of what we expected ourselves in a positive way.
Aisyah Noor: Okay. Just one follow-up on Paragonix. I think you mentioned when you acquired this company that there would be some earn-out payments expected to be paid if some financial performance milestones are achieved. When do you expect to pay these out, I guess, if they happen? And how would that kind of look like on the P&L and cash flow?
Agneta Palmer: Yes. So the first earn-out payment, we paid it now in the second quarter of 2025 related to 2024 growth performance. So that is visible in our cash flow statement. And then we have one more earnout potentially then by the same time next year. Operator The next question comes from Ludwig Germunder from Handelsbanken.
Ludwig Germunder: Ludwig Germunder from Handelsbanken. I have one question, which is a follow-up on the Paragonix question. So could you expand a bit on what is driving the faster-than-expected development on the margin there? And would you be willing to give some flavor on what the margin is or some kind of ballpark?
Mattias Perjos: Yes. It's volume-driven, the margin expansion. We've just disclosed that it's now accretive to group margins, but no more specifics than that. And I think the growth is driven by really successful portfolio. And I think the latest addition is the launch of the KidneyVault here. So -- but I want to highlight that all product categories are doing well in Paragonix.
Ludwig Germunder: Okay. And a follow-up on that. Do you see the market growing? Or are you taking market shares in the market?
Mattias Perjos: Yes. I mean it is a growing market, absolutely. I don't want to make any statements about market shares here. I mean it is a growing and evolving market and sometimes difficult to measure market shares as well between players. So we're definitely growing above the market, the way it's described generally, but it's hard to pinpoint any exact figures when it comes to market share developments. Operator Next question comes from Kristofer Liljeberg from DNB Carnegie.
Kristofer Liljeberg-Svensson: Yes. I have some questions on the quality work you're doing. But first, a follow-up on Paragonix. Is it possible to quantify how much Paragonix is growing now?
Mattias Perjos: No, we've not disclosed that. I think you can see from the acquisition part in the report, the current quarterly sales, but we've not disclosed growth numbers for them, but it, let's say, really continues to be significant.
Kristofer Liljeberg-Svensson: And this is going to be included in organic growth from the fourth quarter, right?
Mattias Perjos: That's correct, yes.
Kristofer Liljeberg-Svensson: Okay. So on ECMO and intra-aortic balloon pump sales in the U.S., is it fair to say that consumables are still growing there?
Mattias Perjos: Yes.
Kristofer Liljeberg-Svensson: And your comment about the installed base, is it so that the installed base is decreasing? Or is it more that you are losing a bit of market share from not being able to grow the installed base?
Mattias Perjos: Yes. The installed base continues to grow, but it is definitely the loss of market share in both categories given the restrictions that we have on actively selling and marketing these products.
Kristofer Liljeberg-Svensson: Okay. And when it comes to the new ECMO machine in Europe, what about timing there? Is anything you could say?
Mattias Perjos: No, we've not disclosed any detailed timing on this. So we'll come back on that when we can specify that exactly. I want to highlight that when it comes to the installed -- sorry, go ahead.
Kristofer Liljeberg-Svensson: No, sorry, please.
Mattias Perjos: No, it's just the addition when it comes to the installed base in the U.S., looking at this from ECMO perspective, for example, I want to highlight that we have a very loyal customer base in the U.S. So they continue to use our equipment. Several of them add new equipment as well. And the penetration level from competitors is still relatively lower. But it's important to keep in mind that when you compare with historic growth rates here, we obviously have a decline. So reality it would have been a lot better if we could actively sell and market these products.
Kristofer Liljeberg-Svensson: Okay. And then did you say that you have now submitted for a new CE registration for the balloon pump in Europe?
Mattias Perjos: Yes, correct. We have submitted the documentation required for this.
Operator: [Operator Instructions] Next question comes from Sten Gustafsson from ABG Sundal Collier.
Sten Gustafsson: I'm sorry, I missed part of the prepared remarks in the beginning, so maybe you already covered it, but it would be interesting to hear your view on the margin development for the year, what the different drivers are and if you had commented on what you expect the full year margin to be in relation to last year? That would be my first question. And secondly, also, if you saw any prebuying or one-off shipments in Q2 in anticipation of higher tariffs coming potentially in August?
Mattias Perjos: Yes. I think the prebuying question was brought up earlier, and we haven't seen anything significantly. We've made some advances in our own supply chain to try to be in the right country by the right time, so to speak, but nothing else to call out significantly. When it comes to the margin, we don't guide on margin for individual years. We have reiterated our earnings per share growth development, and we stand by this target despite the current level of tariffs and the FX headwind that we've seen. And in general, also, if you look at the report as such, the improvement in EBITA margin from 11.8% to 12% would have been above 14% if we didn't have this headwind. So it's an evidence of the continuing productivity work that we continue to implement and that we see results from. So we work strongly with continuous improvement. And this, of course, does translate into margins, but we don't guide for 2025.
Sten Gustafsson: Okay. And there's no specific headwind or tailwind other than tariffs and FX that we should be mindful about looking at the second half here?
Mattias Perjos: No, I think it's generally a favorable market situation. We've seen nice growth in organic growth in both order intake and in net sales. And even also the Life Science market, which has been quite depressed for some time, shows improvement. It's a bit challenging still on the -- especially on the R&D and research side. But other than that, I think it's trending favorable. We maintain our strong positions in our different categories as well. So generally, I think also when you look at Net Promoter Score and how happy customers are with what we do for them remains also positive and strong relative to competition. So we expect generally a favorable development. We've had -- also there was an earlier question about quality-related cost, and we've had no significant scrapping or field action cost in the second quarter and continue to have a heightened level of cost when it comes to uplifting products in line with the work that's required for especially our balloon pump category or Cardiac Assist and also our cardiopulmonary part, nothing changed compared to previous commentary or statements in this regard.
Sten Gustafsson: Excellent. If I may squeeze in a final question. If you could comment anything about what type of restructuring charges you foresee for the second half, that would be helpful.
Mattias Perjos: We also don't guide on restructuring charges either. You've seen that we have some of the costs for previously announced restructuring measures now materializing in the first half of this year. But again, nothing new. The unwinding of the Surgical Perfusion business is going according to plan. So no new information there either.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Mattias Perjos: All right. Thank you. I think we've already made the summary, and I appreciate everyone taking the time to dial in and talk to us today. So with that, we close today's call, and I wish everyone a good rest of the day. Thank you.